Operator: Good afternoon. Welcome to Veritone’s Fourth Quarter and Full Year 2017 Earnings Conference Call. Joining us for today’s call are Veritone’s Chairman and CEO, Chad Steelberg; and the company’s Chief Financial Officer, Pete Collins. Following their remarks, we will open up the call for questions. Please note that certain information discussed on the call today will include forward-looking statements about future events and Veritone’s business strategy and future financial and operating performance, including its expected operating performance for the first quarter of 2018. These forward-looking statements are only predictions and are subject to risks, uncertainties and assumptions that are difficult to predict and may cause the actual results to differ materially from those stated or implied by those statements. Certain of these risks and assumptions are discussed in Veritone’s SEC filings, including its registration statement on Form S-1 and its quarterly reports on Form 10-Q. These forward-looking statements reflect management’s beliefs, estimates and predictions as of the date of this live broadcast, February 26, 2018, and Veritone undertakes no obligation to revise or update any forward-looking statements to reflect events or circumstances after the date of this conference call. In addition to the company's GAAP financial results, during the call, management will be discussing the company's before interest, expense, depreciation, amortization and stock-based compensation or EBITDA, which is a non-GAAP financial measure. A reconciliation of the company's EBITDAS to its net loss is attached to the company's press release issued today. The company is providing this supplemental information because management believes it's an important measure of performance that is commonly used by securities analysts and investors and other interested parties in the evaluation of company's and its industry. Management also uses this information internally for forecasting and budgeting. This non-GAAP measure, may not be indicative of the historical operating results of Veritone or predictive of potential future results. Investors should not consider EBITDAS in isolation or as a substitute for analysis of the company's results as reported in accordance with GAAP. Finally, I would like to remind everyone that this call will be recorded and made available for replay via a link available in the Investor Relations section of the company’s website at www.veritone.com. Now I would like to turn the call over to Veritone’s Chairman and CEO, Chad Steelberg. Sir, please proceed.
Chad Steelberg: Welcome everyone and thank you for joining us today. After the market closed, we issued a press release announcing our results for the fourth quarter and full year ended December 31, 2017, a copy of which is available in the Investor Relations section of our website. We're proud of our achievement in 2017. Our AI SaaS net revenues grew by 189% year-over-year. Our Media Agency net revenues grew by over 50%. We made one strategic acquisition and we completed two common stock offerings. We expanded our customer base globally, now with customers on four continents and diversified our direct sales process to channel partners and system integrators. We continue to enhance the capabilities and performance of our proprietary AI operating system and conductor technology, producing more accurate and timely AI-powered solutions across a broader set of customer used cases. I will discuss some of these highlights in more detail a bit later on today's call. But first I'd like to have our CFO, Pete Collins walk us through our financial results and key performance indicators for the fourth quarter and full year of 2017, Pete?
Pete Collins: Thank you, Chad and good afternoon, everyone. Turning to our financial results for the fourth quarter and full year ended December 31, 2017, our net revenues in the fourth quarter of 2017 increased 40% to $3.5 million from $2.5 million in Q4 of last year. Our Media Agency revenues grew from $2.2 million in 2016 to $3.0 million in 2017, an increase of 37% and our SaaS licensing revenues from our AI platform business grew from $0.3 million in 2016 to $0.5 million in 2017, an increase of 61%. For the full year of 2017, our net revenues increased 62% to a record $14.4 million from $8.9 million in 2016. Our Media Agency revenues grew from $8.4 million in 2016 to $12.9 million in 2017, an increase of 54% and our SaaS licensing revenues grew from $0.5 million in 2016 to $1.5 million in 2017, an increase of 189%. Looking more closely at our AI platform business, the total contract value of new bookings received during the fourth quarter increased to $360,000 from $163,000 in Q4 of last year an increase of 121%. In addition, our monthly recurring revenue under agreements in effect at the end of Q4 2017 increased 276% year-over-year to $173,000 from $46,000 in the fourth quarter last year. Our gross profit in the fourth quarter of 2017 increased 63% to $3.3 million or 93.0% of net revenues from $2.0 million or 79.6% of net revenues in Q4 of last year. For the full year of 2017, our gross profit increased 82% to $13.3 million or 92.6% of net revenues from $7.3 million or 82.3% of net revenues in 2016. The increases in gross profit and gross margin for both the quarter and year, were due primarily to the operating leverage provided by our higher net revenues level. Turning to our expenses, total operating expenses in the fourth quarter of 2017 increased 72% to $16.1 million from $9.3 million in Q4 of last year. For the full year, our total operating expenses increased 93% to $60.1 million from $31.1 million in the same period last year. The increase in operating expenses for both periods was due primarily to higher stock-based compensation expense and increased personnel costs particularly in software engineering, data science and sales and marketing as we continue to expand our business and enhance our AI platform, including developing new products and functionality. Our stock-based compensation expense in Q4 2017 was $2.5 million compared with $0.1 million in Q4 of 2016. For the full year of 2017, it was $16.1 million and in the full year 2016, it was $1.7 million. The fourth quarter increase was primarily due to stock options granted at the time of our IPO and the full year increase was due to those IPO grants along with the vesting of some performance-based stock options. Our loss from operations in the fourth quarter of 2017 was $12.8 million compared with a loss from operations of $7.4 million in the fourth quarter of 2016. For the full year of 2017, our loss from operations was $46.8 million compared with a loss from operations of $23.8 million in 2016. The higher loss from operations was driven by higher stock-based compensation expense and personnel costs as I noted before. Net loss attributable to common stockholders in the fourth quarter of 2017 totaled $12.8 million or a loss of $0.83 per share compared with $9.9 million or a loss of $4.12 per share in Q4 of last year. These EPS figures are based on 15.3 million weighted average shares outstanding for the fourth quarter of this year compared with 2.4 million weighted average shares outstanding in Q4 of last year. For the full year, net loss attributable to common stockholders totaled $64.1 million or a loss of $6.20 per share compared with $30.2 million or a loss of $14.59 per share in 2016. These EPS figures are based on 10.3 million weighted average shares outstanding for 2017 compared with 2.1 million weighted average shares outstanding in 2016. In addition to the higher stock-based compensation expenses and personnel costs I noted earlier, our net loss attributable to common stockholders for 2017 also included other expenses of $12.9 million related primarily to the write-off of debt discounts and issuance costs upon the conversion of our outstanding convertible notes and the issuance of stock warrants upon our IPO and non-cash charges of $4.5 million related to the accretion of preferred stock. Looking at our fourth quarter 2017 net loss on a non-GAAP basis, our earnings before interest expense, depreciation, amortization and stock-based compensation expense or EBITDAS was a loss of $10.2 million compared with a loss of $7.2 million in the fourth quarter of 2016. For the full year of 2017, our EBITDAS with a loss of $30.2 million compared with a loss of $21.5 million in 2016. The increased EBITDAS loss for both the quarter and full year was due primarily to our higher headcount levels, particularly in software engineering, data science and sales and marketing. We expect these investments to lead to further enhances of our aiWARE product and increased net revenues in the future. Now turning to our cash position, at the end of the quarter, we had cash and cash equivalents and marketable securities of $69.1 million and no long-term debt. Next, I'd like to shift gears to our key performance indicators or KPIs for both our Media Agency and our AI platform business. As I've mentioned on previous calls, in order to track the progress of our Media Agency business, we evaluate three key performance metrics. The number of new clients added under Master Service Agreements, the total number of active clients and the average media spend per client. The first two of these KPIs which track the number of new and active clients provide us with insight regarding our ability to grow the market share of our Media Agency business by winning new account as well as keeping tabs on client churn. During Q4, we added 14 net new client compared with 15 net new clients in the same period last year. We had a total of 57 active clients as of the end of the quarter compared with 39 at the prior year quarter end, a 46% increase. Our third KPI for Media Agency business is average media spend per customer, which allows us to analyze not only client spending trends, but our ability to grow media spend with our existing clients. During Q4, our average media spend per client was $464,000 compared with $572,000 in the same period last year, which is a 19% decrease. It's important to keep in mind that while this business is mature and provides a solid foundation for Veritone, it can experience volatility in net revenues from time to time as our clients may ship their ad spending based on their specific business trends, which was the case in the fourth quarter of 2017. It's important to note that our Media Agency business and its success are heavily dependent on Veritone's AI platform. Moving to our AI platforms KPIs, we track a number of KPIs for this business, which we believe represent the best metric to evaluate the growth and success of our company at this stage. The first two KPIs we track in its business are the number of customers and accounts, which show the growth in our customer base for the platform. We had 57 customers on the platform at the end of the quarter compared with 18 at the prior year quarter end, an increase of 217%. We had 467 total accounts on the platform at the end of the quarter, compared with 23 at the prior quarter end, which exceeded our goal of 425 and represented a more than 19-fold increase year-over-year. The next set of KPIs for this business provide insight into the level and growth of our platform's cognitive capabilities. We had 151 third party active cognitive engines on the platform at the end of the quarter compared with 41 at the prior year quarter end, which exceeded our goal of 150 and represented a 268% increase year-over-year. These engine spans 16 cognitive categories such as video object detection and natural language processing, compared with 13 at the prior year quarter end. The final KPI is the number of hours of data processed on our aiWARE platform. During the quarter we processed 1.36 million total hours of video and audio content compared with 447,000 in the prior year period, an increase of 204%. During the full year of 2017, we processed 2.87 million hours of video and audio content which exceeded our goal of 2.75 million and represented a 151% increase over 2016. As we grow and expand our AI platform, we will continue to provide goal posts to make it easier to track our success. With that in mind in the first quarter of 2018, we expect to add approximately eight customers, 110 accounts and approximately 20 active third-party cognitive engines on our platform, including one new cognitive category. Also, we expect to process approximately 1.9 million total hours of video and audio content during the quarter. That completes my financial summary. I will now turn the call back over to Chad, Chad?
Chad Steelberg: Thank you, Pete. I'd now like to share my perspective on Veritone as we shift from 2017 into 2018. I'll start by saying this. We are in the first inning of the AI revolution. So many people want AI to solve their fundamental really difficult challenges. I am talking about the 10X solution SHARE Cancer, Stop Terrorism etcetera, etcetera. The reality is we are all on one of the most profound journeys in human history or men and women are no longer the sole drivers of innovation and our biological cognitive limitations are being overcome and augmented through artificial intelligence. This AI journey will take time and only from the technology to mature, but also for the marketplace to adopt these potentially disruptive yet powerful AI solutions. To address these challenges, Veritone has developed the first AI operating system. It delivers meaningful and measurable results to our customers today and is capable of evolving with the market place to tap over the 10X opportunities when the time is right. We believe that there are three fundamental truths regarding AI today first, as every industry will be radically transformed by AI. Second, that businesses must adopt AI through a main competitive and third, the corporate spending on AI technologies will quickly grow to significant if not dominant levels as a result. Our approach to AI is [weak]. The open terms of our value proposition to our customers as well as the proprietary science that powers it. Veritone's AI operating system aiWARE and applications and cognitive engines that execute on it, our design to solve importance mission-critical problems within our target go-to-market industries today. Our AI solutions harness the power of rapidly expanding set of cognitive engines, machinery algorithms developed by third-parties within the global data science community, which are deployed through Veritone's developer application and orchestrated by Conductor, Veritone's proprietary machine-learning orchestration technology to produce on pressing the levels of accuracy and multivariant intelligence for our customers. As this artificial intelligence evolves from narrow AI with point solution today, the general artificial intelligence solutions with broader cognitive capacity in the future, Veritone is leading the way in helping our customers adopt the data and exploit AI Solutions through aiWARE. In 2017, we had a number of learnings. Despite the growth and available cognitive engines, we were asked to solve issues for businesses that exceeded the capability of engines on the platform and even of those within the broader global ecosystem. In most cases, the cognitive gap was a result of third-party engine providers training models that were too broad. For example, being able to identify 100,000 objects within a video clip and as a result, lack the accuracy our customers demanded for a specific narrow subset of objects. As a result, we work with our partners to train more narrowly focused cognitive engines resulting in higher levels of accuracy. We were able to on board these new models with minimal to no engineering involvement through our developer application to meet our customer's needs. As we enter 2018, we were seeing a shift in the machine learning ecosystem. Companies are now building trainable models that will allow Veritone to develop micro models to fill in the cognitive gaps very rapidly. I believe this trend will continue as a result. AI Solutions will depend on conducted learning to efficiently orchestrate these models in the future. As I expected even before Veritone was formed in 2014, the number of cognitive engines continues to explode at exponential rates. Their accuracy and speed are increasing, while their costs are decreasing which is fantastic news for Veritone and our customers. It means we can orchestrate those engines to deliver more powerful applications to our customers across a broader set of used cases and industry verticals. We found in 2017 that keeping data behind firewalls is paramount to many organizations. To address this need, we developed a hybrid version of our cloud-based aiWARE that moves the cognitive engines behind the customer's firewall instead of moving their data to the cloud for processing. As 2018 unfolds, I believe the boundaries between the cloud, on premise and the edge will diminish, allowing our customers to flexibly deploy and configure aiWARE to meet their business, security and budgetary requirements. We are also developing a standalone network isolated version of aiWARE, which will enable substantially all of our functionality of cloud-based aiWARE to be performed behind the customer's firewall to serve organizations with stricter security requirements. In 2017, we saw the need for speed and as the speed of cognition approaches real-time levels, customers are able to apply AI solutions to more valuable used cases. To support real-time cognition, we are working on modifications to aiWARE to support real-time data ingestion, storage, cognitive engine execution, orchestration and used case specific actions. We have already achieved real-time performance levels in a specific used case and we expect to have a more universal solution in 2018. Conductor, our proprietary AI orchestration system, efficiently select and combines multiple natural language processing engines, resulting in higher levels of accuracy in any single cognitive engine on this platform. We improved this in 2017 in the media and legal verticals and we expect our performance and advantage to increase as we onboard more NLP engines. It's important to note that in many of these new customer opportunities, Veritone competes against a host of Tier 1 technology providers and delivers better results, making us more convinced than ever that the future of AI depends on conducted learning and AI operating system. In 2018, we plan on updating conductor and integrating several of the new trainable cognitive engine into the orchestration process, thus closing the loop and allowing aiWARE to evolve and learn more autonomously. Internally we call this process the virtuous cycle and if achieved, we will push Veritone one step closer to human levels of cognition and deliver unprecedented value to our customers. This is difficult times and will require significant breakthroughs and our preliminary results are promising. We are also working to extend conductor's intelligent orchestration capabilities to other cognitive process. In 2017, the majority of our customers and accounts were sold to our direct salesforce. In Q4, we had our first win to a channel partner and as we enter 2018, our sales pipeline is quickly being filled by channel partners, system integrators and technology partners. I expect this trend to continue, which will accelerate our market penetration both geographically and across industry verticals. Our SaaS revenue in 2017 came primarily from customers within the media and entertainment vertical, with moderate ramping in Q4 within the legal and compliance market. In 2018, I expect our legal and compliance sales to grow quickly. However, the trajectory will be both unpredictable and lumpy as a result of the industry dynamics. In 2017, we laid the groundwork to enter the government and public facing market. In 2018, we will continue to invest in the infrastructure and government certifications required to operated scale within these markets. We've been very pleased with the results of our initial POCs and expect to start generating moderate revenue in the latter half of this year. While our organic expansion of our customer base and technology continue to fuel our market success and revenue growth, we're continuing to explore inorganic opportunity as they present themselves. We have a very active pipeline of synergistic targets and have signed several letters of intent. We will keep you apprised of any significant developments in this area. I appreciate the continued support of our investors who share Veritone's mission to deliver purpose-driven artificial intelligence. As we continue to increase the capabilities of aiWARE, I believe that our land and expanded approach to deploying AI Solutions to our customers will deliver meaningful and measurable value in the short term and 10X Solutions in the not-so-distant future, resulting in tremendous financial rewards to our customers and our shareholders. Again, thank you all for your time today. We look forward to updating you on our progress on future calls. We're now ready to open the line for questions. Operator?
Operator: [Operator instructions] Our first question comes from the line of Mike Latimore with Northland Capital. Your line is now open.
Mike Latimore: Great. Thanks a lot. On the fourth quarter bookings there, was there anything mostly in the legal vertical or can you describe what were the SaaS bookings in the fourth quarter?
Pete Collins: Hey Mike, it's Pete. So, the bookings in the fourth quarter were primarily in the media vertical. The legal vertical is looking like bookings will happen in 2018, but that media, the Q4 number was really in the media vertical.
Mike Latimore: Got it. Okay. And then what's the -- I don't know if you reported, so what is your sales headcount and do you expect that to grow this year or do you expect to focus more on kind of the channel?
Pete Collins: So, the AI sales team basically doubled in '17 from the beginning of the year to the end of the year and I think that for '18 we're looking at slowing down that pace. I think we've got a lot of the right team members in place today. That was a lot of the building data especially in the fourth quarter and so as we look out into '18, we're not expecting to see a significant ramp up there. The sales lift in '18 is really going to come through the channels and through the existing infrastructure we've got from a sales and marketing perspective.
Mike Latimore: Great. And then his deal you announced with Entercom, is that our first quarter booking and can you describe that relative to the other media, big media deals you have like CBS Radio, [for me]?
Pete Collins: Yeah, it's a Q1 booking. So, we're excited about it. It's nice that the work we've done with CBS Radio carried over into basically doubling the size of the deal with the combined Entercom CBS Radio organization.
Mike Latimore: Great. And last, I know the number of cognitive engines that you guys track can grow rapidly, any rough guesstimate of where we might be end of 2018 in terms of number of cognitive engines in the market?
Pete Collins: Well as you know, we gave a target for the end of the first quarter as increasing by 20. I don't know, I am turning here to Chad to see if there's any other color you'd like to share on that at this stage.
Chad Steelberg: Yeah, hey Mike, I think our focus in 2018 is really going to be about the number -- not just the number of engines, but actually the quality of those engines, the lift and the breath in terms of the different cognitive categories that they operate in. Our customers are continuing to push us into new fields in terms of different areas of cognition. So, I think this year, we'll be looking at having four additional categories of cognition and probably staying on pace and watching the number of engines actually accelerate beyond our Q1 objectives that Pete and I talked about.
Mike Latimore: Great. Thank you.
Chad Steelberg: Welcome Mike.
Operator: Thank you. And our next question comes from the line of Darren Aftahi with ROTH Capital Partners. Your line is now open.
Darren Aftahi: Hey guys. Thanks for taking my questions. Just couple if I may. Chad, in your comments about the area of process of narrowing down, the target of the cognitive engine, I am curious the timeframe or is that sort of a moving target if you will, but maybe more of a timeframe where that's more mature and you can more readily address your customer's needs? Secondly, on the customer -- on a total account number, the outperformance I know you guys iHeart in there, but can you just talk about any specifics exceeding that metric? And then on your developer application, can you talk about the traction you've seen since you've launched that? And then just lastly on the media spend, to your comments, I am just curious if that's something where you've seen that media spend per customer shift back in Q1 and normalize or somethings is going to trend throughout 2018 and beyond, thanks?
Chad Steelberg: Sure, why don't I take your first and third question and combine it to which was number of cognitive engines and how they relate to the developer application? So, the number of cognitive engines in the platform again is very important to us. It really demonstrates the intelligence capabilities of the platform and what type of value we can offer our customers when we start combining them in conductor and the level of intelligence we can bring. I talked about this on the call a little bit, but we've seen a shift from when we found the company back in 2014 where the data scientists and the starts were actually heavily involved in actually developing the mathematics behind deep learning and other forms of neural network. Today we're seeing that shift actually building solutions that can generate new engines, sorry, new cognitive engines on the fly. So, they essentially no longer do you update a scientist in the middle of that process. They can take weeks if not months to build a new engine for us. And by moving from again that handcrafted modeling to more programmatic in the marketplace, it's truly going to allow us through the developer applications to accelerate the number of engines to be a form or more nimble in terms of what we can deliver to our customers and fill those gaps. So, they go hand-in-hand. Without developer application, we would have to have engineers on our site onboarding that technology and two, without moving the marketplace to a more programmatic development of cognitive engines without data scientist reaching that what I call that virtuous cycle would be nearly impossible. The 2018, those two questions I think are tightly tied together to our success and growth as we expand our customer base. Pete, do you want to take the other two questions?
Pete Collins: Yes, so Darren as it relates to -- as it relates to the account growth in the fourth quarter, so we saw that really coming across in two different verticals. It was in the media vertical and a lot of that was in the radio group within the media vertical and then it was also in the legal vertical. So, we had account growth across both of those spectrums, but as you pointed out, the biggest one, the biggest driver was picking up the iHeart stations. And then on the media spend, if I look back at a year ago in the first quarter, the media revenues were up about 42% and for the year last year, they were up 54%. That's pretty significant growth that we haven't forecasted with continue out into the future. We're very confident in the business. It's doing very well, but a 42% or a 54% increase year-over-year isn't what we expect on a go-forward basis. So, I think that the level that we would expect throughout '18 would be sort of a strong, but more moderate growth rate than what we saw in '17.
Darren Aftahi: Great. Thank you.
Pete Collins: Okay.
Operator: Thank you. And our next question comes from the line of [Joe] with Craig Hallum. Your line is now open.
Unidentified Analyst: Yeah, hey guys. I am here for Chad today. Thanks for taking the questions. I wanted to ask about the artificial intelligence platform and revs. I guess given some of the underlying metrics, hours of data processed, the bookings that you've received especially in Q3, the accounts and the engines on the platform, I guess we haven't really seen the revenue from that business grow as fast as we had expected. Can you I guess one, tell us if it's growing in line with what you are planning and maybe we were just a little bit aggressive and if not, can you explain what that disconnect is or why there is such a deviation between some of those metrics and the actual revs.
Chad Steelberg: Hey this is Chad. Good afternoon. The biggest thing that we're seeing in the market today is more of a cautious approach for the big companies in terms of their engagement with AI and as part of our core strategy, we're not out there trying to convince banks and media companies to go spend $50 million, $60 million in consulting services as you see other players in the AI world do. We have a SaaS-based solution that allows us to turn a customer on a number of hours on our platform and we're in the market to solve the 2X and 3X they have today that they can actually demonstrate and measure ROI and as such, number one, the time to onboard those customers is less, but also the amount of revenue that we are generating from those Tier 1 customers is also less. And so, our goal is again some of what Eric Schmitt used to talk about which is land the customer, demonstrate tremendous amounts of value, prove your ROI and then expand with that customer as they start to adopt AI across the enterprise and we're seeing this heavily with NBC, one of our key customers. When they started, if you look on year-over-year growth or even quarter-on-quarter growth with them, I know Pete, we don't provide this data, but it really demonstrates, we started with a very small set of users in a very specific used case and we're expanding that across 11 different used cases they’ve identified throughout the enterprise and continue to show substantial internal growth with that account. We're seeing that similar behavior with CBS now moving into Entercom with that acquisition. They're doubling nearly the size of their footprint. So again, winning these Tier 1 accounts we're beating out the other major players that we're competing against and we expect as AI becomes more prevalent and those customers become more readily used to using AI for augmented intelligence, that they will start to grow and expand that revenue stream. I'm disappointed that again we're not landing $10 million accounts. We hope that will be happening last year and we have many of those now in our pipeline for 2018. So, I think that those bigger solutions will start to hit, but at the end of the day we're more than happy to win those accounts by brand, demonstrate value in ROI and grow with our customers at scale.
Unidentified Analyst: Okay. And then a follow-up on the M&A, the acquisition that you announced recently as well as what you have in the pipeline, just it seems about what it means from a cash burn or cash flow perspective, is this something where -- whether you're acquiring them in their operating number even if slightly profitable, do you think there's significantly incremental spend that you'll have to make to get these businesses integrated with you or is it largely you can just dump in right into your platform or your technology without making large investments?
Chad Steelberg: So, we believe that due to the heavy investment we've made already in the developer application VDA, that integrating and onboarding these target acquisitions will be extremely cost effective and efficient. We're integrating right now with partners that we are not acquiring and we're seeing fantastic results both in terms of the benefit they're seeing with Veritone, but also the speed at which their developers can do this independently of us. So, I think that will remain consistent even probably more efficient once those acquisitions are made with target companies.
Unidentified Analyst: Okay. That will be all for now. Thanks guys.
Chad Steelberg: Thank you.
Operator: Thank you. And our next question comes from the line of Sameet Sinha with B. Riley. Your line is now open.
Sameet Sinha: Yes, thank you very much. Couple of questions, and just looking at the SaaS business, the revenue per hour, that came down. You are expecting number of hours to grow sequentially as well. Is there a specific used case that gained favor in the fourth quarter and that's going to continue into Q1? Secondly, if you can talk about your channel strategy as you reduced headcount hiding in your direct sales team, what leverage do you expect and if you can also shed some light on the economics there, that would be helpful? And last question is talking about the cash burns, it came a little higher than you had usually delivered. So if you can just talk about that strategy going forward? Thank you.
Pete Collins: Hey Sameet, it's Pete. Let me start with your third question about that the cash burn. So, the challenge for us to be able to anticipate the revenues and then bring in the resources that match up with that in order to hit the cash burn and we did end up for the year and for the quarter going over what we had anticipated. In '18, we're expecting that we're going to bring the burn rate down on a year-over-year basis for all of '18 versus '17 and what we're doing is really refining the method they we're using for analyzing what our revenues are going to be and then making sure we're bringing in the right resources to match up with that. So, we do expect to bring that burn rate down in '18 versus '17.
Chad Steelberg: Hey Sameet, to address the other question, can you repeat it, so all the listeners can hear it again?
Sameet Sinha: Sure. So, I was just looking at number of hours of data process. So, if you look at the average revenue per hour, so that number come down sequentially and year-over-year as well. So, I am just trying to understand, is there any specific used case that grew significantly because the number of hours expended pretty materially in the fourth quarter. So is any specific usage or application that customers are using you more for that's led to that average coming down maybe it's a low-priced application that was used and similarly, do you expect a similar sort of dynamic even in Q1 considering that you're guiding towards a higher number of hours metric for Q1.
Chad Steelberg: So, I've talked about this before and I'll reiterate which is I think using the revenue per hour is a poor metric to evaluate our business. The reason why I state that is because it would be like trying to compare Google which -- how much content they scan in terms of their search index and using that as the base denominator for them against how much revenue they generate. Our business in terms of the amount of content that we process for our customers will continue to accelerate, which really is an asset that benefits us in a couple of ways. One, once it's in our platform, customers then have a much higher stickiness and propensity to use that same asset and use different engines against it and different applications to analyze it and drive value. So, winning that customer, building that sticky relationship and expanding with them is critical to us. So that's why I primarily don't believe that's a good metric. Further I think that our strategy really isn't about just revenue per hour of content if you will analyze. We are looking at various acquisitions in various different industries which have on tens of millions of hours of content, but today are using zero cognition. So, with those acquisitions coming on Board, you can see that denominator inflate by nearly three to five times with almost zero cognitive processing initially on the platform. So, I think we should move away from that as a metric. I think it's important to look at two key things; number of customers and all three vectors. Number of customer's account, the size of that asset relationship that we're building, which is measured in hours of content and three, the breadth of the cognition that we can make available to our customers. We will have some additional metrics this year with regard to the number of applications on the platform that can deliver both revenue and more intelligence for those customers, but at this point in time, we're still not providing guidance or metrics there.
Sameet Sinha: Got it. Thanks for clarifying that. If you can just talk about the number of categories that you plan to increase, you mentioned you're going to increase by one in Q1 and the probably a higher number through the rest of the year, what are the specific categories if you can -- any thoughts on the sizing of these opportunities as well.
Chad Steelberg: We're not providing any guidance yet on those. I think the boogie more reactive and we have identified over 60 different cognitive categories that are available to us with engines in the marketplace for us to on board. We're using the market as the primary driver for which ones we put on the platform on there is still engineering efforts when we add a new cognitive category unlike when you're adding a new engine to an existing category, where the developer app really makes that seamless and engineering free on our side. So, we'll come back to you as we start to get better clarity in terms of what our customers are looking at.
Sameet Sinha: Great Thank you.
Operator: Thank you. And our next question comes from the line of Rob Stone with Cowen & Company. Your line is now open.
Rob Stone: Hi guys. Thanks for taking my questions. A question for Pete to start out with. You talked about managing the burn rate, it was lower in '18 versus '17. Can you give us any color on how we might expect the quarterly cadence of expense growth still out for the year? Is there a seasonal pattern there?
Chad Steelberg: No. I wouldn't say there is necessarily a seasonal pattern there. There is a balance there though between the revenues and the expenses. But there isn't anything that's necessarily seasonal about that Rob.
Rob Stone: Okay. Your gross margins are holding up really well as you continue to grow the business in that accounts and categories and you mentioned that the developer, the fact that you're moving strategically towards the engines and even conductor being handled on a more automated basis. How should we think about the impact of that change in the technology on your gross profit per revenue dollar opportunity going forward?
Chad Steelberg: I don't believe that that will impact our gross profit at all, but it really will enable us to do is accelerate the number of applications and engines without having to increase our operational burn from an OpEx standpoint in terms of engineered and developer engineers.
Rob Stone: Okay. In the press release you note the recent acquisition and how this would help you add some cognitive categories. Can you provide any more specific color there?
Chad Steelberg: A [tease] really with a data science acquisition is I think we discussed they really bolstered two aspects of our team. One is we picked up our Chief Data Scientist and had a team up in Seattle, which are really starting at the far end of the spectrum in terms of broader general intelligent solutions and bringing them from that angle all the way back in and then we fell to pick up some of the data scientists that are actually focused specifically on more real-time solutions for our customers. And that's really where they're focused today at the shorter end of the spectrum in terms of delivering real-time value that will impact revenue in the next couple quarters, which is moving today with averaging five and 20 minutes for cognition on our platform to get that all the way to a sub several second type timeframe.
Rob Stone: Great. Last question is for Chad. So, you talked about signing up customers without overly burdensome ask in terms of millions of dollars proving the ROI and then expanding within the customer base. Do you have any sense by now if there's a pattern with existing accounts as you work with long enough, how long it takes the customer to get around that loop and realize that they want to go to the next larger scale or wider scope?
Chad Steelberg: I still unfortunately think we're dealing with a lot of small numbers in terms of that, but we're seeing a pretty wide spectrum. I think I mentioned with NBC, they started with in initial single point solution in the media side of their business. It took them less than call it 60 days to identify that there were other opportunities to expand the technology and other business areas. They actually produced the analysis for us without our sales team doing that and then that led us to supporting them in that effort. There is other companies that have done at the get-go, even before we even sign them on to the platform, they’ve identified areas of use that are outside of our standard specifics. So again, I think there is a very wide spectrum. I can say that I would say 80% plus of our customers are at least exploring expanding beyond initial used cases in terms of using the developer application to on board new customer engines or even build applications and integrate it directly with their current business processes.
Rob Stone: So is that's the sort of thing, just thinking about it logically if they're expanding the used cases and engines and so forth that it seems like it should lead to step function in the run rate of revenue per customer? Is that and I'm not trying to ping you down to a specific target here, but just general directionally, do you expect that that sort of step up expanded application by existing customer is something that should become more apparent during the course of 2018?
Chad Steelberg: Yeah, I do and I think I mentioned that in the call. Our goal is it does show up to our customers today with aiWARE deliver a 2X to 3X type solution to them in literally new real time. Let them measure that ROI, get comfortable with the platform and using artificial intelligence and then you again migrating with them towards that 10X opportunity. I fundamentally believe that for industries and businesses to compete in the future, they're going to have to readily adopt artificial intelligence to do so in all aspects of their business. So really being able to be that OS for them is a critical part of our strategy. Do I believe that we will start tackling more meaningful problems for our customers with higher revenue and better return for their shareholders? Absolutely in 2018.
Rob Stone: Sounds great. Thanks?
Operator: Thank you. And at this time, this concludes our question-and-answer session. If you question was not taken, you may contact Veritone's Investor Relations team at VERI@liolios.com. And I’d now like to turn the call back over to Mr. Steelberg, for his closing remarks.
Chad Steelberg: Thank you for joining us on today's call. We want to thank our employees, partners and investors for supporting us as we pursue our mission of building the AI operating system of the future. We look forward to updating you on our progress on our next call, operator?
Operator: Thank you for joining us today for Veritone’s fourth quarter and full year 2017 earnings call. You may now disconnect. And everyone have a great day.